Operator: Good day, and thank you for standing by. Welcome to the Capgemini Q3 2023 Revenues Webcast and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Aiman Ezzat, CEO. Sir, please go ahead.
Aiman Ezzat: Thank you. Good morning, and thank you for joining us for this Q3 revenues call. I'm joined today by Carole Ferrand, our CFO; and Olivier Sevillia, our COO. So we delivered another solid performance in the third quarter. At €5.5 billion, our revenue growth was 2.3% at constant currency and 2% organically, in line with expectations. The economic environment remains challenging, and this growth is consistent with the gradual deceleration scenario for 2023 that we shared with you at the beginning of the year. Bookings were also solid, with book-to-bill above historical average at 0.96. As a reference, last year, it was 0.97. And after taking into account the comparison basis, it translates to a 1.4% year-on-year constant currency growth. But beyond the headline performance, that put us among the leaders in our industry, I am particularly pleased with the sustained growth in our innovation portfolio and in our strategy and transformation business. This perfectly illustrates the strength of our strategic positioning. We have become a major business and technology partner to our clients across their entire value chains. We play a significant role from product innovation through supply chain and manufacturing to customer interaction and service operation. We keep on increasing the value we create for our clients, and this helps us navigate in this environment. Now the appetite for our clients for technology is intact. I would even say with the development of generative AI, it has never been greater, and I will come back to that later. But the demand for digital transformation is robust with a focus on projects with faster payback in this current environment and a renewed demand for those boosting operational efficiency and cost reduction. As a result, we have solid demand for our digital core and agile ERP solution, but also intelligent supply chain and manufacturing; and finally, in data and AI across the board. This portfolio of industry-specific innovative offerings is accretive to our margin and contributes to our sustained operating margin improvement. Looking at our sectors, geographies and business. The trends are fully consistent with the one observed since the start of the year with the same areas of relative resilience and softness. Regarding sectors, the contrast between the growth in manufacturing and energy sectors and the contraction observed in financial services and TMT continued this quarter. And public sector stands out with double-digit growth in the third quarter. By region, Europe remains more resilient than North America. The gap between the two is the same as in the previous quarter, as Europe benefits from stronger exposure to the most resilient sectors Public Manufacturing and Energy & Utility. Whereas, on the other side, in North America is overweight in financial services and TMT and very underweight in public and health care, which has strong traction including in North America. Finally, all our businesses are still growing. The 5.1% growth in Strategy and Transformation Service stands out and illustrates the group's strategic positioning with its clients. Now if you look at the business portfolio in terms of the deals for the third quarter. In the macroeconomic environment that remains challenging. We are well-positioned on the strategic needs of our clients. And Q3 was again a good quarter for emblematic wins that gives us a concrete illustration of the strategic journey and how we deliver strong business value to our clients. So I'll take three examples to illustrate that. On intelligence industry side, we have been retained by U.S. Gigafactory firm to support the setup and scale up of their production. We are helping them optimize their supply chain while implementing S/4 and an [indiscernible] system. On the sustainability side, we are also supporting them around waste management and recycling. Another example on Enterprise Management, Digital Group, Asia Pacific leading integrated logistics service provider, it has chosen Capgemini to be the integrated end-to-end IT services partner. We are leveraging all Capgemini capabilities from consulting to engineering to support their growth. Finally, on sustainability. Capgemini is helping L'Oreal, monitor and steer carbon emissions across their full value chain globally. We are designing and rolling out a solution to consolidate, analyze and report the entire L'Oreal carbon footprint at product reference level. It is delivered jointly with our partner, SWIFT, who provides a state-of-the-art SaaS carbon accounting platform. The platform also supports regulatory ESG reporting to steer carbon impact of all the sustainable transformation projects. Now coming to AI, the client appetite for technology, I consider it even greater today with generative AI and the proliferation of its use cases. Demand in this field of technology investment accelerated in the third quarter. So first, we are ready to respond to our client demand. We already announced to you our €2 billion AI investment plan. We have built a capability of more than 30,000 people in data and AI, business and technology talent, as we previously announced, and we continue to broaden our talent base. As a reminder, we intend to double that team to 50,000 people in the next 3 years. We continue to invest in building and upskilling our people. So our campus to scale up training on GenAI is now fully in operation for all our employees and more specifically, we aim to train over 100,000 talent in GenAI specific tools in the coming 12 months. And also following the successful launch of our four offerings, which I remind you are GenAI strategy, GenAI for customer experience, GenAI for software engineering and custom GenAI for enterprise, we'll be launching new offering in the coming weeks, including our Capgemini GenAI platform. Finally, we are creating more value for our clients, thanks to our partnerships. So besides Microsoft and Google, we are also partnering with Salesforce to help our clients accelerate the implementation of generative AI for CRM at scale. We are delivering hyper personalized data-driven customer experiences by automatic customized content creation in a secure, ethical and responsible manner. We are also recognized as a strategic partner by our clients able to generate value with GenAI. We are engaging with hundreds of clients on GenAI and our pipeline keeps growing. With few exceptions, this remains small projects for the time being, but we started to see some larger ones. The business outcomes are visible for our clients. So I'll take three examples to really showcase that. First, we are supporting a major global bank's mobile payment service platform to improve the productivity of their deployment team with GenAI. This is driven through a series of priority use cases through experimentation, control proof-of-concepts and benchmarking in that improved benefit realization and reduced time to market for newer development. For Alstom, we have launched a generative AI platform and Prompt Academy to further and seamlessly deploy GenAI across the organization to boost performance, starting with identifying the most valuable use cases and the most appropriate large language models for each use case. Finally, we are working with Generalitat de Catalunya to develop a generative AI-based chat answer system. The aim is to reduce response time for citizens and improve public services by providing the administration with the agility, innovation and technological solutions needed to focus on people's needs. So coming to the outlook. So after this solid third quarter, we confirm all our objective for 2023: a revenue growth of 4% to 7% at constant currency, a 0 to 20 basis point operating margin improvement and an organic free cash flow around €1.8 billion. Now as we get closer to the end of the year, I'll give you a little bit more color. We expect constant currency growth between minus 1.5% and plus 0.5% in Q4 as we see clients tightening spend for the 2023 budget lending. The scope impact should also be around 0.5% in Q4 and full year. Now in terms of operating margin for the full year, we continue to tighten up our operation and increase efficiency while improving our mix towards more innovation in our portfolio. As a result, we now target 13.2%, so the top end of the operating margin range for 2023. Finally, on free cash flow. In the liquidity environment that remains tight, we continue to target around €1.8 billion. I consider this combination of growth, margin and cash conversion reflects the strength of our market positioning and the value we create for our clients and demonstrate that we continue to deliver on our medium-term ambitions. Carole?
Carole Ferrand: Thank you, Aiman, and good morning, everyone. Let's start with our quarterly revenue growth. Like the IT services industry as a whole, we are experiencing a gradual slowdown since the beginning of the year, which continued in Q3 as anticipated. In this deceleration context, with a 2% organic growth, we delivered a solid performance. Taking into account the scope impact of 0.3 points, our constant currency growth reached 2.3% in Q3. FX remained a visible headwinds this quarter with a negative impact of 3.6%. As a consequence, our reported growth for Q3 is slightly negative at minus 1.3%. For the full year 2023, M&A contribution is to -- the growth should be close to 0.5 points, while FX should represent a headwind of close to 2 points. Moving on to our revenues by regions. In terms of growth rates, we continue to have the same contrast in between regions. The most resilient regions and the ones more affected by the gradual slowdown remain the same since the beginning of the year. Looking at Q3 growth rates at constant currency, the U.K. and Ireland region continued its solid momentum, growing at plus 5%. This performance was primarily driven by the strong growth in the public sector and the consumer goods and retail sector, while the financial services and TMT sectors were down. The rest of Europe regions also performed well with growth of plus 5.4%, primarily fueled by the public sector and the manufacturing, energy and utilities sectors. France revenues were up by 3.7%. The momentum recorded in the public sector and the solid performance delivered in the consumer goods and retail and manufacturing sectors contrasted with the decline in TMT. Revenues in the North America region were down by 4%. Manufacturing sector growth remained solid during the quarter, whereas TMT sector further contracted and financial services growth turned negative. Lastly, the Asia Pacific and Latin America region boosted its growth with a 7.6% increase in revenues. This improvement was primarily driven by the Asia Pacific region with solid growth in the public sector and consumer goods and retail and manufacturing sectors. Turning now to revenues by sectors. Here again, the contrast between our key sectors' growth rates at constant currency remained broadly in line with what we had experienced in the previous quarters. As already highlighted by Aiman, the public sector continued to deliver high growth in Q3 at plus 14%. Manufacturing and Energy & Utilities sectors also grew nicely during the past quarter, plus 4.3% and plus 3.4%, respectively. Conversely, as anticipated, TMT recorded a further contraction of minus 6.7% and Financial Services eventually turned negative at minus 3.4%. Moving on to our revenues by business lines. Strategy & Transformation Services maintained robust growth with plus 5.1% increase in total revenues at constant exchange rates compared to Q3 2022. This is a strong achievement as a small discretionary deals are clearly under pressure in the current environment. Application and Technology Services, which account for 63% of group revenues, understand as Capgemini core business reported growth in total revenues of 2.8% at constant exchange rates. Finally, Operations and Engineering total revenue grew by plus 0.9% at constant currency, all businesses reporting positive growth. Let's have a look now at the bookings evolution. Bookings amounted to €5.3 billion in Q3 at 1.4% at constant currency. The book-to-bill for Q3 stands at a solid 0.96, 4 points above our 10-year average. On a year-to-date basis, our bookings amounts to €17.2 billion, up 3% year-on-year at constant currency on a demanding comparison basis. Finally, a few comments on the headcount evolution. Our total headcount stands at 342,700 employees as at the end of Q3, slightly down by 4% year-on-year. Our onshore workforce is virtually stable, while offshore resources are down 7% to 196,000 employees or 57% of our total headcount. As discussed with you on many occasions in the past quarters, after 2 years of intensive hiring and higher attrition, our priority for 2023 was to regain efficiency and optimize our talent base, especially in offshore locations. Finally, as anticipated, attrition has continued to cool down at 18.6% on the last 12-month basis, attrition is now within our nominal operating ranges. With that, I hand over to Aiman.
Aiman Ezzat: Thank you, Carole. So to allow maximum number of people in the queue to ask questions, may I kindly ask you to restrict yourself to one question and a single follow-up. And you might have another opportunity for the question at the end. Operator, could you please share the instruction for the Q&A?
Operator: Thank you. [Operator Instructions] We will now take the first question. One moment please. It comes from the line of Frederic Boulan from Bank of America. Please go ahead.
Frederic Boulan: Hi. Good morning, Aiman and Carole. Thanks for taking the question.
Aiman Ezzat: Good morning.
Frederic Boulan: So maybe to come back on the -- your point is now around Q4. So this is a bit of a change from your previous message in Q2 that you expected growth in Q3, both for Q4. I think at the time as well, you say that considering booking and demand, the rebound could be pretty strong once we pass inflection point. Can you share at this stage how you see when -- in your discussions with customers, how you see the demand shaping up in particular in areas of weakness like the U.S. financial services and TMT, any signal that some of those projects could start to come back on the agenda? And I think at this stage, also any early thoughts on next year considering bookings trends, would be very appreciated? Thank you.
Aiman Ezzat: Yes. Thank you. So all good questions. First, regarding Q4, so what we see in Q4, we don't see a degradation in the environment. But typically, Q4 has a lot of variability coming from, first, budget flushes on the positive side that you sometimes get. And the second thing, on the other side, we tend to have the furloughs in some industries where basically people are trying to squeeze a little bit at the end of the year. So if you look at this year, there's not much on the positive side. That means the budget flushes are not happening. And I did comment that already in H1, but even less than what we expect. And on the other side, we see quite a bit of people trying to do their budget lending, which means they are squeezing early as much as they can for the end of the year for their lending on the cost side in terms of technology. So that's what we see. And this is what basically makes it that Q4 is a little bit softer now than Q3 because of this further squeeze that we see clients doing. Beginning of the year, we don't see a worsening of the environment. I think it's still a bit too early to look at the potential inflection point in the cycle. I do confirm that the appetite for technology remains pretty high. The pipeline remains quite full, which again could give a good inflection point when people restart. We also start hearing clients saying that they have squeezed quite a bit at the end of this year and some of the projects they will have to do. Now I cannot tell you exactly when, but definitely, it will give a moment in 2024 when we see that inflection point happening, but the timing, of course, is difficult still at this stage to be able to assess. And on the positive side, you have to see that the demand for innovation portfolio and also for all our sustainability continues to grow at pretty good speed. So what we see is part of what we do is a bit more discretionary and a bit more still on the legacy, and this is really where you see the squeeze. On the other side, I'd consider that what's important for us in terms of the growth portfolio is still very well-positioned. And as you hear, it's also quite accretive to our margin, which gives us confidence about the ability to deliver the 14% in 2025.
Frederic Boulan: Thank you very much.
Operator: Thank you. We will now take the next question from the line of Sven Merkt from Barclays. Please go ahead.
Sven Merkt: Yes. Good morning. Thank you for taking my questions.
Aiman Ezzat: Good morning.
Sven Merkt: Good morning. So first, just a bit on pricing, given the clearly slowing microenvironment. Have you seen a change in the behavior of your competition. Is there a bit more pricing pressure out there? And how should we expect pricing to evolve going forward? And then secondly, a question on the bookings. Is there any duration effect in that, that resulted there in the growth are customers committing to shorter projects, and that is having an impact on the growth here? Thank you.
Aiman Ezzat: Yes, on the pricing, I would say that on the pricing environment, we don't see much change. Of course, I've always been clear that whenever you're coming to the consolidation, clients are looking for -- from price concession in view of volume increase. So that's not surprising. That's still what we see. There is a competitiveness on a number of the deals, I don't see irrational behavior, which is always the thing that we watch out for. Of course, when the environment is a bit tighter, people are trying to -- pricing becomes a bit more competitive, but there's nothing irrational. Second thing, which is important for us, beyond pricing is when we look the portfolio of what we sell, and we always remind you around that, we look at this what we call the sold margin, which basically is the margin we expect to do on deals that we sign if we deliver them in line with expectation and the risk management that we see around the deals, that continues to be good, which means looking forward, our portfolio still carries potential for margin improvement versus a margin squeeze, okay? That's why we remain positive overall because we continue to see that the value we bring for our clients enables us to be able to price even in a more competitive environment in a way where we will continue to see potential for margin improvement. On the booking duration, it's always a bit difficult. I think the -- I consider the bookings continues to be at a healthy level to be able to support some level of growth going in 2024, which I think is important. And when we look at the pipeline, I have Olivier who can comment on that. Q4 booking looks pretty good at this stage, which again will provide us some steam for overall 2024. So sitting from where we are today, we still have a pretty good forecast with bookings in the fourth quarter. Olivier, if you want to add some more color to that?
Olivier Sevillia: Hello. And yes, Aiman, I absolutely confirm. We have a solid, very solid perspective on our Q4 bookings. And yes, some of the deals are 2, 3 years deal, so we are building more resiliency, in fact. What is missing a bit is discretionary in stand spend. But like you, I hear some of our clients really starting to consider they have cut too deep, and they will progressively resume, but it's difficult to predict exactly what is going to unfold. But yes, bookings are healthy [indiscernible] at a full time high still.
Sven Merkt: Great. Thank you.
Operator: Thank you. We will now take the next question from the line of Nicolas David from ODDO BHF. Please go ahead.
Nicolas David: Yes. Good morning, Aiman, Carole and Olivier.
Aiman Ezzat: Good morning.
Nicolas David: Thank you for the -- taking the questions. My first question is regarding the margin that you now see at higher end of the guidance. Is this a direct reflection of the improvement we are seeing in utilization rate or is it more a reflection of your ability to manage OpEx or your ability to reflect price increase? Or -- and as to that, do you need further restructuring below the line to get to this target, notably in markets which are declining like North America? And my second question is also attached to margins is regarding the 2025 ambition of reaching 14%. Are you still confident with this ambition? Thank you.
Carole Ferrand: Globally speaking -- thank you for your question, Nicolas. In fact, we are really confident in the way we are -- we can reach the top end of our operating margin target at 13.2%, which is really good results because it's a testimony of the fact that the quality of our growth continues to be there with more and more CXO reach, more and more being positioned as a business and technology partner for our clients, and that's accretive to our margins. So the mix of our revenues is evolving favorably. And together with that, as we said repeatedly over the last quarters, we have a lower attrition this year. So we are capable to focus more our operations on efficiency gains, and that's what we are doing. And for sure, we are capable to chase pockets of savings where need be. So all in all, we are achieving very strong results. And it's all the more remarkable this year, as you recall, because we have been in an inflation environment, globally speaking, plus the one-off embarked impact of the lateral recruitment last year. So achieving that kind of performance this year and being capable to say that despite the [indiscernible] a very good achievement. And we confirm also our ambition to reach the 14% in 2025.
Aiman Ezzat: Yes. Just to add a bit of flavor to that. We did say at the beginning of the year that we focus the year on trying to optimize more of our cost base. So basically to give us more impetus going into 2024 that we started the year with a high cost base because of all the reasons that Carole just mentioned before, and we are definitely working on that. Yes, there is overall more restructuring this year than last year, but that was expected and -- but it still remains quite reasonable. We haven't announced any big plan or big -- huge restructuring right and left to be able to do that. So it remains reasonable. And we have been working operationally in a good way to be able to work on the optimization, but to give us more impetus on the margin side in addition to the quality of our portfolio going into 2024 and 2025 to secure that 14% margin that we have been targeting. And I think part of what has been done well, I mean it started with the guidance, but all starting with our commentary from last year. The reason we are limiting the amount of restructuring we have been able to improve the margin is because we had anticipated quite well, basically, the cycle and the deceleration cycle and have been able to manage our recruitment and our cost base to effectively navigate through lower growth while still improving our margin.
Nicolas David: Thank you very much.
Operator: Thank you. We will now take the next question from the line of Charles Brennan from Jefferies. Please go ahead.
Charles Brennan: Good morning. Thanks for taking my questions. Can I just ask a question on AI and specifically, the business model of AI? It's nice to see you're starting to do some projects with clients. But is it clear to you what the ultimate business model is going to look like? And specifically, I've heard from the industry examples where global SIs are cutting prices in the anticipation of future productivity gains from AI. Do you think it's going to be one of those technologies that's deflationary for revenues, but incrementally positive for margins? And then just as a follow-up, can you just clarify what Q4 sort of guidance was? My line was bad and I missed it. Was it minus 1.5% to plus 1.5%? And was that constant currency organic? Thank you.
Aiman Ezzat: Let me start with the [indiscernible], so I clarify that. So it's minus 1.5% to plus 0.5% in constant currency, okay?
Charles Brennan: Okay.
Aiman Ezzat: Good. Okay. Now going to the model of AI. I think you're talking more on the delivery here because remember, if you think about generative AI and what we are talking about from a technology impact, there is three areas. There is the work we do for our clients helping them in terms of leveraging generative AI in their own operation, in their own customer experience, in their own product innovation cycles, et cetera. That's one. The second part is how we help people the work we deliver for our clients, and I think your question is around that. And the third part is how we leverage generative AI in our own operation to be able to train faster, to be able to deploy resources in a more efficient way, et cetera, okay? So if I go to the second part, which seems to be the focus of your question, around how it impacts what we deliver? I mean it's clear that generative AI has an impact around the productivity of delivery. We see it in testing, we see it in custom development, in ERP configuration, in cybersecurity management, et cetera. So yes, our job is to fully leverage technology and get our clients to benefit from the impact of productivity that it can gain. So today, definitely, in projects, we are looking like we have looked at the time of automation around how we are going to deliver and bring that value to our clients, and that has a positive impact, of course, in the cost of delivery and that we have to start discussing with our clients as we look at some of the new projects because we have tested and we see some of the productivity gains, which don't translate as much in terms of cost of using because, again, it's depending on what the productivity happens. So again, I just warned as a [indiscernible] kind of case on automation a few years ago, if I look at 20%, 25% productivity, it is not equivalent to 20%, 25% cost reduction. Cost reduction end up being much less because you are more in India, more at the lower end of the pyramid. So the cost impact is much less than the productivity gain. And in terms of is it deflationary or not? I don't think so. I think that today, when I see the backlog that clients have in terms of technology projects, I think clients will benefit from that to be able to get more done. And actually, it will increase as well as the perceived value from the technology project will create more appetite and unlock, from my perspective, more investment for new technology projects. So I see it more on the positive side in terms of growth around technology spend versus a deflationary side in terms of technology spend. As we have seen in previous technology cycles, they have always been on the positive side because at the end of the day, when you become more productive, you create more value from technology, which creates more appetite for investment.
Charles Brennan: Perfect. Thank you. Good luck with the fourth quarter.
Aiman Ezzat: Thank you.
Operator: Thank you. We will now take the next question from the line of Laurent Daure from Kepler Cheuvreux. Please go ahead.
Laurent Daure: Yes, thank you. Good morning, Carole. Good morning, Aiman.
Aiman Ezzat: Good morning, Laurent.
Laurent Daure: [Indiscernible] The weak spots are the U.S. and the TMT sector, where do you think we are there in the sector? Do you think there is a lot of room for further deterioration or do you see those two areas about to trough in the coming months? And a follow-up, sorry to ask again on 2024, I know it's early. But given that starting in Q2, you will have much easier comps, do you believe at this stage, if the macro was to remain as it is today that you will be in position still to deliver a little bit of course into the full year next year? Thank you.
Aiman Ezzat: Thank you, Laurent. So two good questions. First, let's start with America and TMT. I mean most of the American TMT you'll have the base effect which you start playing at one moment. I think in America, what we’ve seen from clients, they tend to cut fast and then move on. So I think we are -- by the end of the year, we'll be at the end of cycle of basically the squeeze in North America. As I say, Q4 is a bit more exacerbated by people looking for additional cuts to be able to close some of the budget for the end of the year and improve their overall profitability. So that will probably see some of that in Q4 as well. But starting at the beginning of the year, we don't see any more worsening in the cycle, and we do expect some of the projects to start coming back because the word I think from clients is, they have cut too deep, and now they're going to have to start getting some of these projects basically done next year. So that's what we see in Americas and TMT. Remember as well in Americas, it's a bit unfavorable mix that plays against that because we are heavyweight in financial services and TMT and on the other side, we are very light on the public and health care, which is really, as you can see, what's still growing at double-digit overall in the market. Coming to 2024. I mean, when we look at it, the appetite for technology remains very high. I think the generative AI side will continue to fuel some additional spend. I don't think it will be huge for next year, but definitely, will start getting a little bit more traction. As you said, after Q1, the comps will start easing. We expect Q4 bookings to remain solid. So do we expect to grow in 2024? Yes. We do expect to grow in 2024, and we do expect to see margin improvement. A bit early to start talking about potential guidance, but we expect 2024 to be a growth year overall.
Laurent Daure: Very good. Thank you.
Operator: Thank you. We will now take the next question from the line of Balajee Tirupati from Citi. Please go ahead.
Balajee Tirupati: Thank you. Balajee Tirupati from Citi. Two questions from my side, if I may. Firstly, on the headcount optimization, which has continued for Capgemini and industry in general, could you share a view on how has billable resources evolved during the quarter? And in face of recovery of demand, how much of utilization headroom group has at present to service demand if the onboarding new employee takes time? And then I have a follow-up.
Aiman Ezzat: Well, the headcount optimization, it continues, yes. But as you see, most of it is still offshore that we really have ability to be able to squeeze a little bit more utilization. And again, it has been a gradual optimization in terms of operation over the quarters. In terms of -- when you're seeing from a recovery and you see on onshore, this has been much less, and we still have growth in some countries onshore. We have a bit of reduction in some. But overall, we don't have much of evolution onshore, at minus 1% over the last 12 months with some improvement in utilization. In terms of headcount utilization. I mean, overall, with utilization going up, I think overall, I would say that we don't have a billability, I don't think overall has decreased. I think that might have increased a little bit. We have 2% growth at the end of the day. So it should be a bit more billability year-on-year. On the recovery of demand, no concern. I mean we have a bit of capacity in terms of growth, in terms of utilization. We have gone through that in '21 and '22, which has a bit overheated.  So we know we can push utilization higher. And in a soft market, before it really starts getting hot, we have capacity to be able to recruit quite fast, and there is capacity in the market today available that we can tap into. We have also significantly reduced our subcontractor headcount. So there is flexibility to be able to reaccelerate without taking any risk or missing on any growth in case basically we reach inflection point. Thank you.
Aiman Ezzat: And you said you had a follow-up on this.
Balajee Tirupati: Yes. The follow-up is, again, potentially on the margin side. As the client investment focus is firmly on larger transformational and vendor consolidation deals, how should we think about change in the pipeline mix impacting future business margin profile? And are you being selective to the current environment?
Aiman Ezzat: So, again, nobody wants to sign bad deals. It's more competitive in the current environment. As I say, when we look at the overall mix of what we said, we consider that the sole margin remains healthy, which I think is important. So we are not sacrificing short-term growth for long-term pains in terms of margin which we hold, we want to grow a profitable business, and we don't want to take bad structural deals just to be able to hold the top line. So I think overall, we are having the right balance in terms of how we make decisions and how we qualified some of these deals. We have good growth, as I said, in our Innovation and Sustainability portfolio. And this is helping us to be able to continue to be positive around the overall margin improvement. The pipeline, yes, in the short-term, you have a bit more consolidation, you have some more things which are clients look for cost efficiency. I mean transformation projects can drive cost efficiency. Generative AI can drive productivity gains. So these are cost oriented in terms of deals, although they are also innovation at the same time. So they can hold pretty good margin, even if they are cost oriented.
Balajee Tirupati: Very helpful. Thank you.
Operator: Thank you. One moment please. We will now take the next question from the line of Joe George from JPMorgan. Please go ahead.
Joe George: Yes. Hi. Good morning, guys and thanks for taking my questions. And I have two, please. Just firstly, on the latest thoughts on the recovery of growth. So Q2, I think was muted. Q4 was going to be perhaps too early on the recovery of growth and that seems to materialize. Can you just give us an update on the views here? Is Q1 or Q2 the way you're thinking about it in terms of internal assumptions for the recovery of growth? Just any color here would be great. And then just secondly, on the margin assumptions for the next 12 months, if and when the discretionary projects and some of the legacy projects do bounce back in terms of demand. How are you thinking about that in terms of impacting the margins from here? Thank you.
Aiman Ezzat: Yes. On the growth recovery, I mean, again, don't expect that Q1 will be an inflection point. I still don't see it. Again, not going to predict basically when this is going to happen. It's very difficult. I did not want to predict it for this year. I'm not going to predict it for 2024. Am I positive that inflection point will happen in 2024? Yes, I am. The timing exactly is a bit difficult to predict at this stage. And I remember that beyond the inflection point, we will start to see some easing comp as well starting in Q2. So that's something to keep in mind. On the margin side, if your question, are we going to improve margin in the next 12 months? Yes. I mean, I think we have a good margin trajectory. We are doing what is required to be able to continue to improve the margins even in the slowing growth environment that we have today. We have still pockets of improvement, both coming from the quality of the portfolio of what we sell to our clients. That's also from an operations side, and we continue to work relentlessly on the two, as we have done for the last 10 years. So we still see the potential for continuous margin improvement, including in 2024 and 2025 to get to the 14% target that we have set.
Joe George: Right. Thank you.
Operator: Thank you. We will now take the next question from the line of Michael Briest from UBS. Please go ahead.
Michael Briest: Good morning. Yes, just in terms of Q4, would you expect North America to show further deterioration or is this going to be largely driven by Europe trending towards flat or slightly negative? And then just in terms of cash flow guidance. If working capital is going to be -- or the business is shrinking or flattish in Q4, that's potentially quite positive to working capital. Could you maybe say where you feel the cash flow might come in? Is around €1.8 billion more likely to be above €1.8 billion or other factors to consider? Thanks.
Aiman Ezzat: Okay. I'll leave Carole on the beautiful question around the free cash flow above €1.8 billion. On the -- listen, on the Q4 in North America, there's some variability on discretionary expense. I'm not going to comment around further deterioration or not because we -- it's more client-specific. It's going to be region-specific. Overall, as you can see, there's a little bit of variation between Q3 and Q4. I will not point exactly where it's going to be because, as I say, some of it is linked really to specific client situation and squeeze at the end of the year then overall evolution in the environment. So a little bit early to discuss that. Carole, on the working cap?
Carole Ferrand: On the working capital and the cash target, so the €1.8 billion, we always said that it was a challenging target because of the tight environment, and we continue to say so. Just, Michael, I remind you that at the end of June, the DSO was up 4 days and we were all mobilized to fully limit the impact by the year-end and we do so. And as you know, the most important point is that our free cash flow remains one of the best of the industry with the free cash flow to net income above 1, and it's something that is structurally a key feature of our group. So that's -- that we are all fully mobilized in a very challenging environment.
Michael Briest: Okay. Thank you.
Operator: Thank you. We will now take the next question from the line of Deepshikha Agarwal. Please go ahead -- from Goldman Sachs.
Deepshikha Agarwal: Hi. Thanks for taking my questions. I have just two. So one is basically, you talked about the regional dynamics in U.S. and your visibility there, like -- and Europe has been relatively resilient so far. So how do you expect that region to evolve, especially like in the context of your commentary on the fourth quarter and in 2024? And the second one is the headcount like decreased sequentially in this quarter as well. So do you -- like any color on when do you expect the headcount to come back to growth sequentially?
Aiman Ezzat: Hey, listen, evolution NA versus Europe, again, we don't want to try to tap in the crystal ball. I mean -- but we do expect, of course, a net rebound at one moment and it tend to cut faster and rebound faster. So I think at the inflection point, we should be able to observe that, don't know exactly when. Europe has shown good resilience from softening like in NA, but of course, to a lesser extent. We do expect Europe to remain somewhat resilient, but it will depend as well on the economic context coming into 2024. So the balance between NA and Europe might vary in the course of 2024. But again, difficult to exactly predict. Regarding your second question, which is around the headcount evolution return to growth. Have to see -- I'm sorry, I'm a bit less obsessed than you all about the headcount evolution because for us, we are able to manage our capacity in terms of delivery, depending on the environment. So yes, we will resume headcount growth at one moment when we probably reach the inflection point. In the meantime, our job is to try to optimize as much as we can our operation, while investing in new skills, in new innovation, in new portfolio, and that's what we are trying to fuel, which is more important than the overall headcount evolution. Headcount evolution will vary depending on the level of automation, the level of productivity we were able to drive, the mix of business that we are driving. So I'm really much more focused around how do you manage our capacity to be able to innovate and to deliver the value to our clients. And headcount, yes, of course, it's going to resume at one moment, but I'm not trying to time it about -- it is, especially in the current environment where -- which is quite soft, which I know our reactivity to be able to scale up capacity is quite easy right now. So -- but in the course of 2024, we will see, of course, headcount going back to growth.
Deepshikha Agarwal: Thanks.
Aiman Ezzat: Okay. Thank you all. This was the last question. So we look forward to interacting with you over the coming weeks. And our full year will be on the 14th of February. Thank you all.
Carole Ferrand: Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.